Peter G. Dilnot: Hello, everyone, and welcome to our Melrose First Half 2025 Results Presentation. It's certainly been a busy and important 6 months for us, and I'm pleased with the progress that's been made. In the first half, we've delivered a strong financial performance, which includes substantial improvements in both profit and free cash flow versus last year. These results have been delivered against the backdrop of the ongoing industry-wide supply chain issues and the recent tariff disruption. We've also moved further forward with our multiyear transformation program, which completes this year. So we're firmly on track to deliver our full year guidance at constant currency. Looking forward, our path to value creation is both clear and compelling. Aerospace and defense markets are growing structurally with record order backlogs and an expanding aftermarket. In particular, the outlook for defense has changed significantly in recent months with a step change in European and NATO spending commitments. Over the last few years, we've repositioned Melrose to focus where our design-led positions are deeply embedded in the world's leading aircraft. This has resulted in a unique portfolio that locks in growth from OE ramp-up and aftermarket growth in the years to come. Our differentiated and proprietary technology is also meeting evolving market needs and gaining commercial traction. At this point, we're entering a phase of accelerated cash flow generation, which is underpinned by growing earnings and onetime cost sending. We're therefore well positioned and confident about delivering our recently announced 5-year targets. I'll come back to our growth outlook, but for now, let's return to our progress in the first half. On the financials, revenue was up 6% and coupled with further margin expansion, this led to a 29% increase in operating profit. Our free cash flow was GBP 91 million better than prior year, primarily due to increased earnings and lower restructuring costs. On the commercial side, we had some encouraging wins. In structures, this included contracts with BAE Systems on the Typhoon and a new agreement with Archer. There was also good progress in engines, including with our breakthrough additive fabrication. Safety will always be our top priority, and our total incident rate reduced by a further 14% in the first half, reinforcing the excellent progress last year. On the wider operational front, customer quality escapes were down by 22% and productivity improved by 3 percentage points. This is particularly encouraging given our manufacturing processes have been disrupted by industry supply chain shortages in recent months. We are seeing the benefits of all our transformation work reading through in our results, and there's more to come as we complete the program by year-end. Now as part of this, we set a target 3 years ago to have 85% of our defense portfolio sustainably repriced by the end of 2025. And I'm pleased to report that this was achieved in June, so 6 months ahead of schedule. So in summary, we've had a strong first half with good momentum going into H2. With that, I'll now hand over to Matthew to go through the financials in more detail before I return to talk further about our growth outlook.
Matthew Gregory: Thanks, Peter, and good morning, everyone. It's a pleasure to talk about the business' performance in the first half with continued strong progress being made on all key financial metrics. At a headline level, group revenue has grown 6% on a like-for-like basis, and this has again been led by the performance of the engine division. Group operating profit has taken another significant step forward, growing 29% to GBP 310 million as a result of the revenue growth and the ongoing benefit of our transformation program. Margins continue to improve in each division with group margin up 380 basis points to 18%. And this, in turn, drives an improvement in EPS of 30%. Finally, our free cash flow performance has improved substantially by GBP 91 million compared to the prior year, with the cash outflow in the half reduced to GBP 54 million, slightly better than we'd expected. So despite operating in a somewhat turbulent trading environment, we have delivered another strong set of results with progress being made in both profit and free cash flow. Turning to Slide 7. I do have a slide for each division coming up. But at a headline level, you can see that while both divisions delivered revenue growth, our performance is very much driven by the Engines business, which was up 11%. Structures growth was boosted by defense, but as expected, continues to be dampened by the ongoing supply chain challenges being experienced in the sector, which is holding back customer production rates. However, margins continue to grow robustly in each division due to the aftermarket in engines as well as the impact of our business improvement programs in both divisions. This progress gives us confidence in delivering our full year margin guidance. So let's dig a little deeper into the performance of each division. Turning first to engines. Revenue growth was strong at 11% up, driven primarily by the aftermarket as well as the continued OE growth. OE growth of 7% in the period reflects good growth in wide- body engines, a higher spare engine ratio on the GTF and better performance from our military ducts business. This was partially offset by lower Swedish military government partnership OE sales, which faced a strong comparator last year. The performance is commendable given the disruption introduced by tariffs in Q2 and continued supply chain challenges in the sector. Aftermarket revenue was up 15% in the period. RRSP revenue performed very well in the period, up 25%. Within this, variable consideration was GBP 182 million, up 17%. So clearly, the nonvariable consideration RRSP portfolio performed even better than this. However, as expected and in line with a very strong comparator last year, our government partnerships aftermarket business declined in the half. We continue to be the key partner with the FMV in Sweden, and we broadened our relationship with investment in engine assembly, test and MRO repair capability for the RM16 Gripen E engine. We were also pleased to announce an agreement with the ArianeGroup to supply several mission-critical components for the Ariane 6 launch vehicle. Our aftermarket repair business was affected by the introduction of tariffs for imports into the U.S. in Q2. As a result, this business saw flat revenue for the half. We've now implemented a temporary importation on the bond process to restore product flow in this area and are confident in the positive outlook for this business. To this end, we've secured further contracts from existing OEMs, including a 5-year extension with Pratt & Whitney for a fan blade repair and a 3-year contract with Boeing Defense for fan blade repairs on the C-17 Globemaster. Operating profit grew by 26% to GBP 261 million and margins at 33.4% have grown by 400 basis points. This margin reflects the growth in the highly profitable aftermarket business, the improvements in productivity and quality as well as the read-through from business improvements in this division. And it's worth highlighting that the Engines division has traditionally had higher margins in H1, and so margin guidance for greater than 32% for the full year remains intact. So a strong performance from engines despite the supply chain challenges and tariff disruption in the sector. Turning to structures. After taking account of the businesses that were sold or closed last year, the division delivered revenue growth of 3%. As expected, the civil side of the business was flat in the period. A strong performance for business jets was offset by continued production rate challenges at a major customer. On the commercial side, we signed an agreement with Archer to further expand engagement on the midnight eVTOL to platform to cover electrical systems and wing structures. This platform has been selected as the official air taxi provider for the 2028 Los Angeles Olympics. And in line with our capital allocation policy, this development is being funded on a capital-light basis. Revenue was higher in defense, up 10%, where increased build rates and improved commercial terms read through in the period. As Peter said earlier, we are very pleased that the defense business has now reached its target of 85% of the portfolio being sustainably priced 6 months early. And this benefit will read through over the coming years. Commercially, Defense signed a 5-year follow-on contract with Lockheed Martin for continued manufacture of C-130J Nacelles and a 6-year follow-on with BAE Systems to continue the manufacture of Typhoon transparencies. Margins for structures continue to improve despite the slower ramp-up with the impact of pricing and business improvement and restructuring dropping through. Structures margins also benefited from the exit of lower-margin businesses during 2024. Operating profit grew by 32% to GBP 63 million, and margins grew from 4.7% to 6.7%, an increase of 200 basis points. As we've noted a number of times, seasonality in the structures market is very much weighted to the second half, but a 200 basis point increase in the first half is absolutely in line with our overall expectation for margin improvement for the year. So despite the volume and supply chain challenges, the business continued to grow profit and margins well in the period with good momentum towards our 2025 margin target of around 9%. In addition, the fact that the expected ramp has not yet arrived gives us confidence in our long-term margin target. While we're talking about operational performance, it's worth giving an update on tariffs on Slide 10. Melrose is a global business with a complex supply chain. On the introduction of U.S. tariffs, the business worked quickly to identify exposure and put in place mitigation measures. The group has around GBP 1.1 billion of revenue that is manufactured outside of the U.S. and sold into the U.S. Through a variety of measures, the group has been able to largely mitigate its current direct exposure to U.S. tariffs. Now these measures included utilizing exemptions such as DFARS in defense, USMCA and the U.K.-U.S. trade agreement, existing contractual protection, whereby Melrose is not responsible for duties, working with customers to either change supply chain trading terms or change supply chain structure, utilizing existing mechanisms such as drawback or temporary importation on the bond and then also just straight commercial negotiation. We're comfortable that we've largely mitigated the current tariff situation and the proposed EU-U.S. deal looks likely to be good news. However, we remain watchful for any further developments over the coming days and months. Having talked about the divisions, let's now talk about the numbers below operating profit on Slide 11. As always, we put the details of our adjustments to operating profit in the appendix. Net financing costs are GBP 62 million, which largely reflects higher net debt levels driven by shareholder returns. The average cost of bank interest has been 5.2% in the half. And during the period, we added GBP 385 million of bank facilities to further strengthen our balance sheet. The ETR for the half is coming through at 21.8%, in line with our previous guidance. A combination of all of the above and the steadily reducing share count shows EPS at 15.1p, growth of 30%. And as a result of the strong progress in the year, an interim dividend of 2.4p per share is proposed, growth of 20%. Now let me turn to our cash performance for the half, which is GBP 91 million better than last year. As you can see, operationally, this business is generating cash even when financial performance is weighted to the second half. Working down the table, you can see that we've broken out variable consideration again to give full transparency to the cash flow. Operating cash before CapEx and the PMI cost was GBP 118 million, GBP 58 million higher than last year, driven by the increase in EBITDA, offset by the expected seasonal working capital outflow in the half. CapEx is slightly lower than last year at GBP 50 million, and this is as a result of the reduction in restructuring CapEx that was spent as part of our relocation projects last year. We continue to invest in our business as required and in particular, the exciting additive fabrication operation in engines, which Peter will talk about later. CapEx represents 1x depreciation, in line with guidance. Restructuring expenditure has reduced significantly from GBP 85 million to GBP 17 million in the half as our business improvement programs come to an end. And to confirm, these programs will complete this year. Our guidance remains that the completion of these restructuring projects will cost a total of around GBP 40 million to GBP 50 million in 2025. The cost of resolving the GTF powder metal issue is coming through as expected, with GBP 37 million being settled in the half. We expect the full year spend to be around GBP 70 million, in line with prior guidance. After these one-off items, free cash flow before interest and tax was an inflow of GBP 10 million and after interest and tax was an outflow of GBP 54 million. Moving below free cash flow and on to the share buyback program, we continue with the GBP 250 million program, which is due to be completed by March 2026. During the half, we spent GBP 71 million on buying back shares, and we have around GBP 150 million to go. Net debt ended the period at GBP 1.4 billion and leverage at 2x net debt to EBITDA. This was in line with our expectations. To summarize, free cash flow performance was slightly better than our expectations and was a substantial increase versus prior year. And both of these facts give us increased confidence that we will achieve free cash flow of GBP 100 million plus for the year. So let me finish off with a slide which updates our full year guidance for 2025. Let's talk about the P&L first. We laid out our guidance back in March 2025 at a rate of USD 1.25 to the pound. Our guidance excluded the impact of any tariffs at that point. Having reviewed our half year performance and also having been able to largely mitigate the current impact of tariffs on the business, we are reconfirming our prior guidance at constant currency. However, as a result of the strength of sterling, we do need to update our guidance for actual rates. The average rate for the U.S. dollar for the first half was 1.30, and our assumption for the second half is 1.37. And this gives us a blended rate of USD 1.335 to the pound, which is the rate that we've used to restate our guidance. Revenue guidance changes to a range of GBP 3.425 billion to GBP 3.575 billion with the midpoint like-for-like growth rate remaining at 7%. As a result of the changed FX rate, our guidance for variable consideration reduces to a range of GBP 310 million to GBP 340 million. You'll note that we've tightened the range of this guidance since we've completed our risk assessment on variable consideration in the first half. Aerospace operating profit has been updated to a range of GBP 650 million to GBP 680 million. And at the midpoint, this continues to represent profit growth of around 25%. The divisional guidance levels have been reduced accordingly, but you'll note that our guided margins of greater than 32% for engines and around 9% for structures have not changed. With no change to our guidance for central costs, the group operating profit guidance has been updated to a range of GBP 620 million to GBP 650 million. There's no change to our guidance for interest costs or the ETR, which remains at 21% to 22%. Now turning to cash. Our guidance for free cash flow remains at GBP 100 million plus even at the new FX rate. Now you may be thinking that it's odd that we've changed the profit guidance, but aren't changing the free cash flow guidance. This is because foreign exchange also impacts variable consideration, which is not cash in 2025 and because we had a conservative starting point. So we're pleased to maintain our free cash flow guidance at the new rates. And I'd like to take this opportunity to reiterate our confidence in delivering GBP 100 million plus of free cash flow in 2025. There are 3 key factors that will drive the step-up in free cash flow. Firstly, there will be a continued second half improvement in our non-VC EBITDA, and you can work this out from our guidance. Secondly, restructuring cash costs will be lower than the prior year. And thirdly, we'll have a working capital inflow in the second half, reflecting seasonal inflows, the unwind of some temporary tariff-related inventory as well as customer settlements, which we have clear line of sight of and are very much part of the industry. So we had a clear plan back in March, and that plan remains in place. We are very confident in delivering GBP 100 million plus cash in 2025. As a final point on guidance, whilst we've been successful in largely mitigating the impact of current tariffs, our guidance continues to exclude the direct or indirect impact of any new or changed tariffs. So to conclude from my side, the business has performed very well in the first half. Despite continued supply chain challenges and the tariff disruption, we expect the business to deliver continued progress for the full year, and our guidance at constant currency is maintained. 2025 will be the year that substantial cash will be generated, an important inflection point on our way to our longer-term targets. Let me now hand back to Peter.
Peter G. Dilnot: Thanks, Matthew. Let's now turn to our growth outlook. To start with, our end markets are benefiting from strong structural demand in both civil and defense. On the civil side, backlogs for high-volume aircraft have now reached around 8 to 9 years. Wide-body orders were particularly strong in the first half with a book-to-bill of over 4x. Flight hours are also set to grow at 6% in the years ahead, driving the aftermarket with increased shop visits. Now an important side effect of the OE backlogs is that mature engines such as the narrow-body V2500 and the CFM56 are flying longer, requiring sustained maintenance. And at the same time, the fleets of the Rolls-Royce XWB and the GEnx powering the world's wide-body aircraft are progressing further into their aftermarket phase. On the defense side, the ongoing geopolitical conflicts and tensions have led to increasing demand, particularly in Europe with higher spending commitments. This is reading through in 3 ways. First, the existing European fleets of U.S.-led aircraft such as the F-35 are set to increase. For example, recent further orders from the U.K. and Belgium. Second, European platforms are increasing production and not just from continental demand, but from new global orders for platforms such as the Typhoon and Gripen. And finally, it's clear that the nature of war fighting has changed with the proliferation of uncrewed air vehicles. As a result, there are many development programs being progressed in the U.S., in Europe and here in the U.K. and Melrose is set to benefit from all of the trends that I've just covered. Indeed, our unique portfolio locks in future growth as we already have design-led positions embedded on the world's leading aircraft. This includes civil and defense aircraft with established positions through both our structures and our engines businesses. On the Civil side, we have extensive structures content with Airbus and Boeing plus a growing partnership with COMAC. We also have significant content with leading business jets. Our civil engines business has an unmatched portfolio of 19 RRSPs, which cover all the OEMs and gives us an entitlement on 70% of the global flying hours currently. This is complemented by our extensive non-RRSP business, which includes a global network of engine repair facilities serving the aftermarket. On the defense side, we've got long-term agreements for structures on all major rotary and fixed wing platforms with high-value content on U.S. aircraft such as the F-35, C-130, Black Hawk and Apache. We also have presence on European key platforms such as the Typhoon and the NH90 helicopter. In defense engines, we're the leading global supplier of fighter jet ducts to all the major OEMs. And we have proprietary technology on the F135 engine and system-wide responsibility on the RM engines that power the Gripen fighter jet. So in summary, our design-led portfolio is broad-based across both civil and defense with over 70% of revenue coming from sole-source positions. To capitalize on the opportunities ahead, we're executing our growth strategy that's centered around 3 core levers. First and most important, this is delivering growth from the existing platform positions I've just described. This represents 90% of the revenue that we've included in our 5-year plan. This involves production ramp-up to deliver the record order backlogs and aftermarket expansion, and it will be reinforced by ongoing operational and commercial excellence. The second lever is expansion in new target opportunities. We're deliberately focused where our technology is differentiated and where we can create and capture most value. And we're already well underway with commercializing our technologies such as engines additive fabrication, and I'll come back to more on that later. And thirdly, we're participating in the future of flight, including next-generation single-aisle engines and airframes, sixth-generation fighters and Hydrogen flight. This is a straightforward strategy, which will deliver growth and returns in the short and long term. So let's look a bit further into each of our businesses now, starting with Structures. Our Structures division is now the world's largest independent aerostructures business, but it's the quality that matters as our business is built around design capability, which is embedded onto all the world's high-volume aircraft. Our design-led capability includes sophisticated composite and metallic structures, advanced wiring systems and transparencies. And this technology is established on all major narrow-body, wide-body and business jets on the civil side as well as key U.S. and European defense platforms, as you can see on this slide. Now recent progress here includes further repricing and commercial wins, particularly in defense. Our operations have been prepared for the single-aisle ramp-up as well as recovery in wide-body volumes as supply chains ease. The Structures division has both global reach and local presence, and we have an operating footprint that spans the West Coast of the U.S. and Mexico through Europe, India and China. Our local presence has served us well with managing through the recent tariff situation. And in the first half, we further expanded our business in best cost country regions, which retain competitiveness and can serve our regional customers well. And in China, we have a local-for-local approach through our growing joint venture with COMAC. So put simply, after many years of restructuring and repositioning, our Structures division is now a great business generating high-quality earnings and strong cash flow. And there are significant further gains to come as industry volumes ramp up and the benefits of our restructuring and ongoing operational improvements read through in the years ahead. Let's now turn to engines. Our Engines division is unmatched in that it partners all the leading OEMs. We have 4 technology-led businesses, RRSPs, commercial OE contracts, parts repair serving the aftermarket and governmental covering defense and space. We're the global market leader in structural load-bearing solutions. At the heart of engines is our 19 RSPs. These are life of program contracts, which provide an entitlement to our share of the lifetime aftermarket cash. Six of these engines drive 90% of the future value of our RRSP portfolio. That's the mature V2500 and the CFM56, the new wide-body GEnx and XWB engines and the 2 GTF variants. Now on the left-hand side of this chart, we have highlighted our shares and the growth in fleet sizes of each of these core engines. And as you can see, we have a higher share on the newer engines where growth over the next 20 years plus is set to be significant. So over time, as mature engines where we have a lower share are gradually replaced, we'll benefit from a greater proportion of the lucrative aftermarket for decades to come. Within the RRSPs, we have an important position on the GTF, which is fundamentally an excellent engine given its differentiated gear technology and greater fuel efficiency. The well-publicized PMI issues are being addressed as planned and the new variant, the GTF advantage was certified by the FAA in February. This latest variant is based on extensive knowledge of the legacy fleet through the increased inspections, and it's a much improved engine in terms of both durability and fuel economy. It's also good to see strong GTF demand with over 1,000 new orders in H1. More widely, our engines business is preparing for the OEM ramp. We've gained some good wins in our repair portfolio, albeit as Matthew has said, growth was somewhat tempered by tariffs in Q2. Our defense business continues to expand and deepen globally, including recent gains on the Gripen E fighter. So put together, this is a uniquely placed business, which will deliver strong profitable OE and aftermarket growth and with decades of cash from our aftermarket entitlement to come. Underpinning both our structures and Engines businesses is ongoing momentum with operational and commercial excellence. This has contributed to margins increasing from around 12% in 2023 to a targeted 18% plus in 2025 with a path to 24% plus in 2029. These margin gains are being primarily driven by our multiyear transformation program, which has fundamentally repositioned the legacy GKN Aerospace business. We've taken the global footprint from 52 sites down to 32 with our operations now concentrated in centers of excellence. We've also successfully exited businesses that are noncore. There's been extensive repricing, and we focused capital investment on capacity expansion to meet the OEM ramp. In other words, we've created the foundations to leverage upcoming market growth. Our focus going forward will be to profitably deliver the OE and aftermarket ramp-up with productivity gains coming from our restructured operating base. We're also continuing to work on commercial levers across the portfolio, and there's work to do on unlocking working capital, particularly as we have excess inventory in the business at the moment due to the ongoing industry-wide supply chain issues. As these ease and with the implementation of our brilliant basics lean approach, we're confident that further efficiencies will be delivered, resulting in margin expansion and improving cash flow. And we're not starting from scratch here. This is about maintaining momentum with continuous improvement. So having talked about our existing platforms, now let's turn to where we're successfully commercializing our technology with targeted new opportunities. The most important area here is engines additive fabrication technology, where we're focusing effort and direct investment. This is a breakthrough manufacturing method that provides an alternative to forgings and castings for certain components. The technology is an increasing demand from all OEMs, and our challenge now is to certify the large number of components we have in our pipeline and to industrialize the manufacturing process. The good news is that we're already well underway with the world's first and only certified component, the fan case mounting for the GTF, moving to 100% additive fabrication by the end of this year. There are many other parts to come on existing engines. And excitingly, we're also working on an engine case for the next-generation program with the CFM rise. This proprietary GKN technology has many benefits, including shorter lead times, but the real driver here is it's helping to address some of the supply chain constraints in the aero engines industry today. Beyond additive fabrication, we're pushing forward with a range of exciting technology insertions in targeted areas such as uncrewed military aircraft and China expansion. Our growth in structures is typically capital-light with funding largely coming from governments, customers or partners, but we're deploying our own capital into engines and particularly on additive fabrication. Looking further out, we're helping to shape the future of flight. Our work here includes the next generation of engines, where we are the only partner on both technology programs today and advanced composite developments, for example, where we're working with Airbus on folding wings for the next generation of single aisle. So stepping back, what we've gone through today in terms of both recent H1 progress and our clear future growth plan gives us real confidence and conviction in delivering our 2025 numbers and our recently announced 2029 targets. The 5-year targets include high single-digit revenue growth to GBP 5 billion by 2029, coupled with further margin expansion, leading to GBP 1.2 billion plus of operating profit. Most significantly, we have a clear path to generating GBP 600 million of free cash flow and further increases beyond that. And just to reiterate, 90% of all this is derived directly from the existing positions we have today. Effectively, as the market expands, then we get returns from our repositioned business. Now before I close, let me just spend a bit more time on cash given its significance and the step changes ahead. I'm going to describe this relative to the business that we've been through today. In structures, the increased cash flow comes from primarily the drop- through of increasing OE production on our portfolio, plus ongoing efficiencies from our operational and commercial levers. The increased earnings have good cash conversion and the recent restructuring cash outflows end in 2025 as well. The Engines business that is not linked to RRSPs will also grow profitably and all the associated businesses here have good cash conversion dynamics, too. Finally, our engines RRSP portfolio will generate more inflows from the 17 engines that are already in the cash-generative phase. The GTF is obviously an important part of the story here and the PMI headwinds that cost around GBP 70 million this year and next will fall away in 2027. And the program itself will also turn cash positive for us from 2028 onwards after years of heavy investment in its development. And finally, as I've mentioned, we'll improve trade working capital efficiency as supply chains ease and productivity increases. So our assumptions that underpin the GBP 600 million target are based on engine OEMs projected aftermarket cash flows for the respective engines, and we've assumed that the current OEM target build rates will be achieved by 2029. So while there's work to do here, we have a clear line of sight to GBP 600 million of free cash flow based on market growth, embedded positions and the established dynamics of our business. So let me now wrap up. We've had a good first half on our journey to unlocking Melrose's exciting potential. We know what we need to do. We have good momentum, and we're confident on the path from here. And with that, let's open to questions.
Operator: [Operator Instructions] The first question comes from Mark Davies Jones of Stifel.
Mark Davies Jones: Can I start with a sort of big picture question about the place of structures in the portfolio? Because I think at the time of demerger, the suggestion was the priority was to fix that business before considering strategic options. But obviously, the 2 businesses are very different. We've recently seen here get surprisingly generous payment for its Structures business. Are you considering options now that, that repricing is done and the performance is getting pretty close to target?
Peter G. Dilnot: Mark, so the first thing is, just to be clear that the Melrose Board is always focused on value creation in all its forms, including the shape of the portfolio. Specifically to your question, look, where we are right now is we've got 2 great businesses that are poised as we've gone through today for significant upticks in both profit, but of course, cash as well. And then specifically on structures, we are coming to a point where actually all the restructuring work is about to finish. We're not done yet, but it will be done by the end of the year. We've got then the margin benefits to come through from that. And of course, the Civil ramp-up as well as further defense growth as well. So the business is really poised for a period of sustained improvement. And our focus is on both sides of the business to unlock that potential, and we think that's the best path for our shareholders to deliver our organic plans. And of course, we'll always maintain an open eye in terms of ways that we can unlock value. But right now, it's very clear it's delivering the plan we've just gone through today.
Mark Davies Jones: Fantastic. And then can I just get a clarification on the engine repair business. can you explain exactly what's going on in the tariffs and the remediation you put in place there because I didn't quite follow Matthew's description.
Matthew Gregory: Should I cover that one off. Yes. So look, just to be clear, across the broader business, we have largely mitigated the impact of tariffs. And you saw the slide on that. A lot of work has gone on with that. I think the engine repair business is unfortunate that we have this business, a very good business in America that was affected by the tariffs being applied on the actual blades themselves coming into the factory and then having to go out again. So it's a short-term impact. We've reacted very quickly. We've put in place a temporary importation on the bond scheme, which effectively allows people to bring the product in and take the product out without attracting any tariffs. So that takes that risk away. That's already in place, and we're expecting that business to get back on track and continue its very strong growth in the second half and thereafter.
Operator: The next question comes from Ben Heelan of Bank of America.
Benjamin Michael Heelan: First one was, as we look into 2026, you'd given some color about the kind of medium-term growth trajectory around cash, but are there any more specific comments you can make around '26. Appreciate you're not going to give us a number. It's still early days, but what are the high-level building blocks that we need to be thinking about. Second question, a follow-on around the repair situation. From memory, the Capital Markets Day in 2023, this was outlined as an area with the repair business that you could consider doing M&A and building that inorganically. Is there any update there? Has that improved in outlook, deteriorated in outlook? And then final question for me on the A350. Obviously, the Spirit deal from an Airbus perspective, still hasn't closed. That's been pushed to the right, Q4 now. How are you seeing the situation on the 350 within the supply chain? And how are you thinking about managing the production ramp or kind of managing that cost situation given this continues to get pushed to the right?
Matthew Gregory: Shall I do the first one, Peter, and then you take the next 2. So yes, thanks, Ben, for those. Looking into 2026, we will give guidance on that in 2026. Our focus is absolutely on delivering this inflection year of positive cash flow in 2025. But when you look at the building blocks, we set that out at the full year results. So what things will happen in 2026. So firstly, we will continue to grow. We are growing and we will continue to grow. Margins will continue to grow. So the base business will continue to grow. We then have the -- some of these sort of drag aspects sort of being considered. What's great about the half year results is that the restructuring cost has reduced by about GBP 68 million. So we said that was one of the drags that was going to go away, and it is starting to go away. So next year, that will have gone effectively. We'll still have the PMI costs coming through. We all know about that until 2020 -- through '26 and into 2027. And then we have the broader GTF development costs, which are -- will be improving. But I think the way I'd characterize it is we're going to deliver the GBP 100 million this year, and then the business will continue to grow and the anchors will continue to fall away. And we will continue to grow towards our GBP 600 million cash target for 2029.
Peter G. Dilnot: Great. Well, I'll pick up the next 2. So just on repairs, just stepping back for a moment, you're right to say this is an area of significant investment and focus for us. And it's a great business because we have got capability to repair in the aftermarket, blades, but increasingly blisks and disks and structural components. And of course, with the aftermarket going very strongly, those services are very much in demand. We've built over the last couple of years, a flagship site in the U.S., which is the one we've talked about already, which has got a specific kind and short-term issue on tariffs, but also a site in Malaysia to serve the Asian market to build on what we have in Europe. So it's a business that is well positioned. We're actually the market leader or certainly one of them outside of the OEMs themselves. And those services are in demand. One of the key things that we do is we have very fast turnaround times, which is helpful. And it's a good market and a position where we have got some great capability. So the outlook here is very strong. To your point about organic versus inorganic, the reality is we've got these new sites, which are highly productive, much more automated, and we've got quite a lot of capacity that we can use to ramp up to meet that demand. And because we have got this capability, if there's an opportunity to partner with others or to look at how we can exploit that further, of course, we will. But all the numbers we've gone through today and our focus right now is just to make sure we're leveraging the capability that we have, and there's more growth to come from what we've got at the moment. So that's it on the repair side and an important part of the non-RRSP part of our engines aftermarket business. On the 350, yes, you're right. It's been a bit of a challenge, I think, for Airbus. And of course, we, together with others in the industry, have previously adjusted our guidance based on that. What is clear is that the demand is strong, and Airbus has a plan to go from what the rate is today just below 6%, up to 12%. They reiterated that yesterday and have reiterated this and to the supply chain more broadly. And we're ready to do that with a facility actually that is geared up for that sort of volume. So there may be some challenges, short-term challenges. We work very closely with Airbus to make sure that we are always there and able to supply the line as they want and to make sure that we're ready for the ramp. And so we'll work through that. And of course, the other thing, as you know, Ben, is we are tending to be ahead of their production schedules anyway because what we do is typically 6 months in advance of the final assembly line. So it's all in our guidance, and we're very confident actually, there's no supply chain heroics needed to meet our second half guidance and to deliver the year that we've set out.
Operator: The next question comes from Ian Douglas-Pennant of UBS.
Ian Christopher Douglas-Pennant: With apologies, I was dropped from the call for 5 minutes. So if a question has been asked already, do you feel free to tell me. I'll just read the transcript. Firstly, could you help us understand the strong cash flow or the stronger than you let us believe cash flow that we've seen in H1 is great to see. Can you help us understand what is the cash generating ability of engines and structures at the moment? How does that split between the 2 relative cash absorption. And then my second question, could you just give us an update, please, on the non-engine RRSP business? In particular, I'm thinking of the additive manufacturing business. I think I recall in the second half of last year, you had some challenges here, which I believe were short term in nature. Perhaps you could give us an update there on how that has been performing in the first half of the year and how the outlook looks.
Matthew Gregory: Sure. Well, let me take the cash one. Not -- perhaps we'll do -- you do the second one. So yes, on the cash flow, Ian, we don't actually disclose the split between the engines and structures cash flow. That's not disclosure that we give. What I can say is that the businesses are performing and generating cash in line with our expectations. And we've always said that the structures business is a business that is a sort of a normal industrial business. It generates -- it will be generating sort of 85% sort of cash conversion and that will be growing. And the Engines business, if you leave aside the variable consideration piece, is also a good cash-generating business. But to be honest, we don't give that split between the divisions. On the second point around the non-RRSP business, I'm not sure we recognized that there were problems with additive fabrication. Maybe we can come back offline on that one because that's a business that's just going from strength to strength. But Peter, maybe you want to say a bit more.
Peter G. Dilnot: Yes. I think I'll just talk more broadly about this non-RRSP Engines business because it is an important part of the portfolio. And as we've already emphasized, it's got actually great cash dynamics as well. There are 3 parts of it. I think we talked about repairs already with the question we had from Ben. So the other parts of this are the OE side of the business where we supply actually into military jets, and I think it's an important theme from today, but also OE contracts such as into the LEAP engine. And then the other side of it, the third element of it is government, which is a pure defense business, which actually, to be fair, had a very strong first half last year and has provided a tougher comp in this first half. But all 3 of those businesses are growing strongly. They're profitable, highly cash generative and a very important part of our broader engines portfolio. I'll take the opportunity to talk about additive fabrication and Gripen had we've had no hiccups here at all. And I'd say just a couple of things, and we talked a bit about it in the presentation, didn't we? But the first thing is that the demand for our additive fabrication technology, which is an alternative manufacturing method to forgings and castings is increasing demand. All the conversations we have throughout the organization, including actually at the CEO level of what can we do to go faster with additive fabrication. It's a better way of manufacturing things, but it's also, as we say, an alternative route of supply on something that's a bit of a constraint at the moment. We've got 2 challenges. One is industrialization and the news you heard is that we're now moving to 100% on the first and only certified part in the world. But the other thing is the certification. And we've got a long pipeline, a growing pipeline of parts that we need to certify. It's a long process and importantly so, these are life of aircraft parts. And we've got a long pipeline of parts that need to be certified that we're working through, and that covers all OEMs. So additive fabrication straightforwardly goes from strength to strength and is an important part of our story over the longer term as well as what we're doing in the short term.
Operator: The next question comes from Joe Orchard of Rothschild & Co. Redburn.
Joseph Orchard: First one, strong margin performance in the Engines division. And you pointed out that H1 normally comes in stronger than H2. I mean even if there's a slight dip in the second half of the year, do you still expect that H2 margin to come in north of the 32% mark that you've guided towards. And then the second question is on the RRSP risk assessment, the catch-up. And that appears to be what's driven the kind of, I guess, the overall higher variable consideration year-on-year rather than the VC number itself, which looks flat. I mean is that the trend we should expect to see going forward of an absolute increase or an increase in absolute terms? Or are there any specific reasons for that higher catch-up in H1.
Matthew Gregory: Thanks, Joe. And good to speak to you. I think it's the first time we've spoken to you on these calls. So I'll cover both of those off if that's okay. Look, on the engines margin, we've given our guidance for the full year of greater than 32%. We do just have this slight seasonal weighting in the first half versus the second half. And you could see that if you go to last year's numbers, you can see a similar thing. Our engines business, there's a holiday impact to that. And it's not quite as weighted towards the second half as the structures business is because you don't have that sort of that build push towards the fourth quarter quite so much. So just to be clear, we are very comfortable with our guidance on that and the greater than 32% is what we're expecting. In terms of the RRSP risk assessment, yes, we have seen growth in that. Now you will see growth in the risk assessment each year because what we're doing here, as we've laid out very clearly in our sort of RRSP booklet is each year, we have to assess the risk on the overall aftermarket income that we're expecting. And we have to then apply that back to past engines. So that goes back to about 2022. So every year we go forward, there's going to be just more engines being sort of caught up by this risk assessment. And that's logical because every year it goes that goes forward, and you can see this across the industry, the engines are becoming more reliable. We see things like the GTF advantage, for example, that's been certified in the first half. And all of these risks that we're very prudently taking into account sort of unfortunately sort of fall away, and that's why this risk assessment has to increase. So no issue with that at all. I mean the variable consideration guidance has been maintained. From our perspective, everything is in line with -- as we expected and also as we laid out in our Aide Memoire in the first half. But happy to talk afterwards about that if you want sort of further information on that one.
Operator: [Operator Instructions] The next question comes from Belinda Kearns of Barclays.
Belinda Kearns: I have 2, please. GE recent upward revision to its 2028 guidance was driven by stronger-than-expected shop visit on CFM56 and the GE90 engine, both on which you participate as a risk and revenue sharing partner. Does your internal planning framework incorporate a similar uplift or such scenario will represent an upside relative to your 5-year plan that you presented early March? And then my second question relates to the A330 program. Airbus is now planning to reach rate of 5 by 2029. Could you remind us what is your exposure to this program, please?
Matthew Gregory: Shall I take the first one, Peter, and you take the second one. Thanks, Belinda, for those questions. Yes, it's interesting that GE are updating their guidance on those particular programs. Look, I think we should step back and think about how we look at this. So we've got this very broad portfolio of 19 RRSP with a huge amount of upside coming as the engines go through the shop visits. We have a model that works out what we think the overall RRSP income is going to be, and we sort of update that every year. There are always going to be puts and takes around this, and we also apply our sort of industry knowledge around this. So it may be that there's some upside here. But going out to 2028, we will do our regular reviews each year to see how their aftermarket is looking. And -- but we're comfortable with the guidance that we've given on the overall move to GBP 600 million cash for 2029. Hopefully, that answers that question, and Peter can talk about A330.
Peter G. Dilnot: Yes. The A330, obviously, a smaller program overall and relatively speaking, not that significant for us. I think we've touched on our build rates already. I think the key thing for us with Airbus is readiness for the A320 ramp and the restructured cost base. We've got -- takes into account the capacity, and we've also talked about the 350. And it's about, I think, around GBP 2 million per ship set that we've got very specifically on the 330. But as I say, it's very low volumes, as you know.
Operator: We currently have no further questions. So I hand back to Peter for any final or closing remarks.
Peter G. Dilnot: Well, thanks all for joining us this morning, and I wish you all a good weekend when you get there. Thank you.